Operator: Good morning, everyone. Welcome to Unifi's Third Quarter Conference Call. Leading today's call is A.J. Eaker, Vice President Finance and Investor Relations. A.J?
A.J. Eaker: Thank you, Operator, and good morning, everyone. On the call today is Kevin Hall, Chairman and Chief Executive Officer; Tom Caudle, President and Chief Operating Officer; and Jeff Ackerman, Executive Vice President and Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found at unifi.com and by clicking the third quarter conference call link. Management advises you that certain statements included in today's call will be forward-looking statements within the meaning of the federal securities laws. Management cautions that these statements are based on current expectations, estimates, and/or projections about the markets in which Unifi operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecast, or implied by these statements. You are directed to the disclosures filed with the SEC on Unifi's Forms 10-Q and 10-K regarding various factors that may impact these results. Also, please be advised that certain non-GAAP financial measures, such as adjusted EBITDA, adjusted working capital, adjusted net income, and adjusted EPS, may be discussed on this call, and non-GAAP reconciliations can be found in the schedules to the webcast presentation. I will now turn the call over to Kevin Hall and advise you to follow along, beginning on Slide 3 of the webcast presentation.
Kevin Hall: Thanks A.J. and good morning everyone and thank you for joining us today. During the third quarter, our revenue grew 3% year-over-year making it our fourth consecutive quarter of sales growth. Our sales momentum continues to be driven by the success of our premium value-added product portfolio. Total PVA sales for the quarter grew 17%. The top-line performance do not translate into increased profitability due primarily to the acceleration of raw material costs which moved higher at a much faster rate than our ability to take responsive pricing actions. We continue to believe that the investments we're making to drive long-term growth across the globe are important and are working. That said, we have some work to do to navigate this complex and challenging cost environment. Jeff will share in a few minutes more detail on several unanticipated headwinds in the quarter. A quarter where many things went against us, an unexpected and a dramatic increase in raw material costs, sales mix and domestic demand challenges, unfavorable foreign currency impacts, and a higher effective tax rate. The largest of these however, and the one that is our top priority, is the pace of raw material cost increases. As we talked about in our second quarter earnings call in January, the price of our input costs are directionally correlated with trends in the price of oil. At that time, we said that we have seen a move in raw material costs and then an increase in raw materials had a meaningful short-term impact on our gross margin performance which would continue until pricing actions could take hold. As a point of reference the price of oil rose from mid-$40 barrel range where we first got our 2018 outlook to the mid-$50 per barrel range in Q2. Although we hope to see some stabilization in these inflationary trends during our third quarter, the price of our raw materials continue to climb. The price of oil reached the mid-$60 per barrel range in the third quarter. It has been several years since polyester raw materials have also increased persistently for so many months on end. We are chasing these cost increases with price increases but our pricing actions naturally lag cost changes. Compounding the effects of this rising cost environment has been the continued soft demand in the domestic market creating a difficult setting in which to implement cost based price increases quickly. Market demand coming out of the holiday season has improved, particularly in February and March. But January remained very sluggish as improved customer confidence has not yet manifested in the customer shipment. It is difficult to predict cost and demand in the short-term, but let me try to summarize the impacts I just discussed and where we are heading. As of last week, oil prices moved into the high $60 per barrel range, a strong increase compared to when we first built our plant. We believe this difficult environment can be overcome once cost stabilize and our pricing actions catch up with the cost increases. We have a global supply chain, and we will leverage it to try to adapt to the current environment. Importantly, we continue to believe our differentiated PVA fiber strategy will allow us to grow profitably longer-term. We are making good progress on building brand connections and growing with PVA products and are investing to deliver continued revenue growth behind our branded PVA business. Now moving on to a higher level review of our operational results during the third quarter. International top-line performance again excelled with sales growth of 23% over last year, driven primarily by brand adoption of PVA technologies in Asia. However we did incur a mix change as we saw accelerated volume growth on lower margin staple fiber program. In the domestic market, our sales efforts do not generate growth in polyester products and we saw continuing decline in the domestic nylon market and our nylon business segment overall. The decline in the polyester segment reflects the slow start to the quarter that I mentioned earlier. On the recycling side, we are still perfecting our craft. After some necessary upgrades to our bottle processing facility in Q3, we are pleased to announce that we have begun hitting our target run rate on production of clean clear flake. As we have described in the past, the clean clear flake increase from our bottle processing facility is transformed into polyester chip in our REPREVE recycling center in the Atkinville. As with Virgin polyester, REPREVE chip is also subject to raw material cost pressure. Our prices for bale and plastic bottles for the year have increased 20% to 30% versus the prior year. As I mentioned when I joined the business, I believe our sustainability story is global and captivating and the timing is right. We will continue to work to be the sustainability partner of choice and a high quality solutions provider. From a marketing and commercial standpoint, I would like to highlight a few examples of how our commercial efforts are progressing. As you may recall, we announced our Champions of Sustainability Awards in January which recognized the contributions of our branded textile partners that have achieved significant plastic bottle recycling milestones as a result of the use of REPREVE performance fibers. Awards were given to 25 brand and retail partners. This is an impressive list of brands joining us on our journey to 30 billion bottles transformed by 2022. Supporting these brands is an equally impressive list of textile award winning partners. Together we are joining forces to make a difference for the good of tomorrow. I am thrilled with the progress and our shared sense of purpose and cooperation. As we move forward, our ability to introduce new product innovations are important to our growth. I would like to highlight two of these. First, is our XS Technology, a proprietary yarn yard cross-sectioning technology that is able to provide excellent cushioning, resilience, and viking. Initial commercial introductions are starting to make their way to market. A new line of performance option is now available in stores and online. You will hear more about XS Technology as we move into the next fiscal year. A second technology that is seeing significant traction is our SORBTEK 365 and Bottomweight including Denim which provides thermal control keeping you warmer in the winter and cooler in the summer. In Denim, this technology also provides a noticeably desirable feel to the fabric. Leading denim brands are starting to implement this new product. We look forward to sharing success stories on programs that are starting to set a return. I also want to highlight our recently announced acquisition of the Dyed Yarn business and assets of National Spinning. Once closed, this acquisition will allow us to transition that business to our state-of-the-art dyed house in Reidsville, North Carolina. We plan to run Reidsville's Dyed house on a seven day per week schedule which will allow us to deliver faster lead times and respond to our customer needs much more quickly. We will welcome several technical and operations personnel to join the Unifi team and believe this will position our dyed business for long-term growth in key market segments such as sweaters, hosiery, and apparel. I'm excited to bring our new employees and customers and would like to express a very warm welcome to all. While this will be a small transaction in terms of capital on our end, we expect this business to provide incremental revenue and expand our customer base. We believe it represents another way that we can leverage our strong balance sheet and operational capabilities to complement our organic top-line growth. Jeff will talk more about how we prioritize our cash deployment, but I'm excited about any incremental opportunities that complement our existing high quality footprint in core competencies. With that, I will pass the call to Jeff to go into more detail on our financial results. Jeff?
Jeff Ackerman: Thank you, Kevin, and good morning everyone. As Kevin noted, we are disappointed in our margin and profitability performance this period and understand that we have work to do. The difficult domestic environment has weighed on our bottom-line results for several quarters and we need to work toward improved cost efficiencies, more effective pricing execution, and a more profitable sales mix. I'll get a little more granular with the drivers of our performance in my discussion today and share some of our progress to improved results. My discussion will begin on Slide 4 of the webcast presentation where you can see a high level overview of these results. Net sales were $165.9 million which was a 3.1% increase from third quarter 2017. The top-line growth was led entirely by the international segment. Raw material cost increases and less favorable sales mix were the primary causes of the lower gross profit. Expected higher SG&A expense related to our planned strategic investments in PVA commercial capabilities also affected our profitability. I want to point out that unlike in 2017 where we experienced some FX favorability; we have not seen FX favorability during 2018. The year-on-year impact of foreign exchange changes was $1.4 million after-taxes. The change in net income related to equity and affiliates relates primarily to reduced earnings at Parkdale. Lastly, we capture tax benefits in the prior year Q3 on account of some R&D tax credits to the tune of $1.2 million, while enduring some tax unfavorability this year related to tax reform. As Kevin said earlier, it was a quarter full of headwinds up and down the P&L and you see that here. Slide 5, you can see the impact that those major net income drivers had on our diluted EPS. Slide 6, this shows the sales and gross profit highlights for the third quarter. Before I go through the numbers, let me take a moment to shed some more light on our pricing strategy and abilities. I know many of you have questions in this volatile raw materials environment. Customers that are on our index pricing model will see price adjustments approximately every three months based on changes in input costs during the preceding quarter. Therefore index pricing adjustments are neutral to our profitability over the long-term. However as we have seen this fiscal year with costs rising almost every single month, index pricing adjustments do not maintain pace and profitability is negatively impacted. For a non-indexed customers, we see similar timing dynamics coupled with the added difficulty of negotiating incremental price increases on a one-on-one basis in a very competitive and cost conscious market. For NAFTA captive suppliers such as Unifi have the advantage of greater speed to market in the U.S., inflationary cost pressures increased competition from Asian and other low cost imports. On commodity products, no one has pricing power which makes it extremely difficult to take responsive pricing actions very quickly. Instead we find ourselves chasing cost increases with subsequent price adjustments creating a profit gap. We often have to go back to our non- index customers several times to secure penny at a time price increases. With that in mind, let me walk through the sales and gross profit performance. Total segment net sales were up 3.3% from the prior year on 9.8% higher volume, while gross margin declined 320 basis points. Sales results in our International segment continue to be a bright spot and drive overall revenue growth. Sales of recycled staple fiber continue to grow in Asia and these sales are a key component to long-term relationships based on sustainable solutions. The international PVA portfolio remains significant and strong as our strategy continues to be validated. In our Polyester segment, we saw growth in our REPREVE yarn and chip sales, while declines in certain other yarn volumes continued in the quarter. Overall, polyester volumes were nearly flat due to the increased sales from our recycling operations. Nylon sales performance reflects the ongoing decline in the category. We are investing in our commercial capabilities to improve sales volumes and working to improve our cost structure in this segment. Now let's look at gross margin performance which declined 320 basis points. Rising and elevated raw material costs generated pressure on nearly every portion of our portfolio. We estimate that total gross profit impact from raw material cost increases was in the neighborhood of $3 million and therefore 180 basis points to consolidated gross margin. We also incurred some negative mix and volume changes. On a consolidated basis, we estimate the gross profit impact related to lower volume and less favorable mix to be in the range of 140 basis points. I also want to point out that despite the decline in international gross margin; this segment was accretive to overall company gross margin in the quarter. The last item that impacted gross profit this quarter relates to some cost pressures in our domestic manufacturing operations. In our Polyester plant, the January startup was more difficult than expected and led to some incremental costs. While our bottle processing operations have demonstrated the ability to achieve our targeted production levels of £75 million of flake annually, this achievement comes after a week of unplanned downtime to make upgrades. In total, these events had a $1.2 million effect on our gross profit this quarter. As we exited the quarter, we have seen significantly improved manufacturing performance and believe those challenges are largely behind us. Slide 7 shows Equity Affiliates. Earnings from Equity Affiliates declined approximately $1.1 million. Parkdale also experienced a difficult regional environment in combination with rising cotton prices which resulted in an earnings drop of nearly $900,000. Nylon joint ventures experienced a profitability decline due to lower volumes. Distributions in the quarter totaled $2.5 million, while the year-to-date amount is $11.2 million. Slide 8 covers balance sheet highlights. Working capital was $190.6 million and adjusted working capital was $151.7 million. Adjusted working capital as a percentage of sales remained in our range of expectations at 20.9%. Increased inventory levels are primarily due to higher raw material costs and strategic inventory purchases in Brazil due to the timing of favorable tariffs. We ended the period at $126.4 million in debt principal and net debt was $85.8 million also in our range of expectations. Total liquidity and revolver availability were at $100 million and $60 million respectively. In addition using swaps that terminate in May 2022 we have effectively fixed LIBOR at approximately 1.9% on $75 million of our debt principal. Our weighted average interest rate was 3.6%. Looking beyond our cash and debt positions, I remind you that we still have $27.6 million authorized and remaining under our share repurchase program while we prioritize growth investments we remain open to considering multiple levers to drive long-term value. In closing, we are adjusting our fiscal 2018 outlook to account for the unanticipated results from the third quarter in a fluid macro environment we are still experiencing. While oil prices do not have an exact correlation with our raw material and other input costs, it tends to be a good directional indicator. With oil approaching $70 per barrel, we expect to see further cost increases in Q4 which will put pressure on gross margin and necessitate further pricing actions. In a more stable cost environment, we would expect revenues to grow in the low-to-mid-single-digit percentage range for the fourth quarter. However in this environment where we are taking pricing actions, we may experience volume pressures. In Q2, PET raw material costs increased mid-single-digits sequentially from Q1. In Q3 PET raw material cost increased mid-to-high-single-digit percentages sequentially from Q2. If oil continues to remain at or above current prices, we could experience another mid-to-high-single-digit percentage increase in PET raw material costs in Q4. So while we believe our strategy is the right one and will deliver profitable growth as the raw material and demand environments stabilize, our best estimates now are for revenues to still finish the year in the low-to-mid-single-digit percentage range. However, many of the challenges that impacted the third quarter's profitability remain ongoing. So while fourth quarter profitability is expected to improve sequentially over third quarter results, we expect fiscal 2018 operating income and adjusted EBITDA to be below fiscal 2017 levels. We are also lowering our CapEx guidance to $28 million for the year, but our tax rate expectations remain the same the mid 20% range. With that, I'll now pass the now back to Kevin for closing remarks. Kevin?
Kevin Hall: The third quarter involved a number of very complex issues. Some of these were outside of our control while others were things we have to fix and will improve. We know we can do better and believe we will do better as we move forward. From an investor's point of view, I think it's critical to again reiterate that our PVA programs are working. Our current products and those that we are developing can help our customers innovate with solutions that today's consumer's desire which in turn will help them improve their top-line opportunities. We need to remain focused on positioning our business for long-term growth and executing our strategy while simultaneously improving our short-term returns. With that, we will open the lines for your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Chris McGinnis with Sidoti & Company. Your line is now open.
Chris McGinnis: Good morning. Thanks for taking the questions and appreciate the detailed revenue. Just maybe -- just on the kind of the raw materials and the index pricing, can you maybe just talk about how much, I don't know if you want to give us this much color but how much is on index and then is there any way to change that to kind of better get through periods like this? Thanks.
Jeff Ackerman: Hey Chris it's Jeff, thanks for the question. So it's a meaningful portion we haven't ever publicly disclosed what portion of our business is on indexed pricing but it's a meaningful portion. And I was interpreting from your question, correct me if I'm wrong, you feel like that, were you asking whether we would want to shift more people or less people I wasn't quite sure about the second half of your question there.
Chris McGinnis: Yes. And the second half was is there any way to kind of mitigate these periods in a volatile raw material environment where you can maybe get pricing a little sooner or --?
Jeff Ackerman: Yes. Well like I think the first thing I'd just say is that over time we've demonstrated that we've been able to get the margin back over time, so it's just that we're going to lag. We feel like that as we continue to push forward with kind of the services that we have offering greater services or leveraging our domestic and international global supply chain. We can try and mitigate some of those costs and again it points to our strategy around developing great partnerships pushing on sustainability those that are interested in that that value that and driving PDA which we think is a -- which are products that we feel like are more defensible.
Chris McGinnis: Okay, great. And then second and if I miss this I apologize but I think last quarter you mentioned maybe some higher margin contracts coming in from the International that you're excited about? Did those come through in or did I miss that the commentary I apologize?
Kevin Hall: Hey Chris, this is Kevin. No, so what we were talking about is how we've been establishing the brand connections we've been working on getting them into sustainable products and then starting to work on innovation that will drive really the growth and profitability into the future. There are new programs in development; there are new programs that are starting to ship now. One of the unfortunate things about where I said is that because we're in the lead of some of these things, going to market I can't really showcase to what the brands are doing I wish I could. If I do that they give me a call right away, but I think you're starting to see the beginning of those programs going into market and you'll see more of those as we go into next year.
Chris McGinnis: Great. I'll jump back in queue. Thanks for taking the time today.
Kevin Hall: Thanks, Chris.
Operator: Thank you. And our next question comes from the line of Daniel Moore with CJS Securities. Your line is now open.
Daniel Moore: Good morning. Thank you again for taking the questions and the color. Wanted to shift gears away from raw materials and just to the through general weakness in the North American market conditions, you mentioned I believe Kevin January was soft as it -- is it discontinued kind of compression in inventory chains, maybe talk a little bit more about the macro there and what's driving that just the general declines in PVA and poly volumes in North America.
Kevin Hall: Okay, Daniel I'd be glad to. Yes, so it is interesting kind of step back and put ourselves back into Q2 as we went into in our Q2 but as we went into holiday, going into holiday the retail environment was really tough and lot of -- but then there were a lot of store closings there was a lot of unknowns around consumer demand, lot of unknowns going into holidays and it was just -- it was a very difficult macro in time and people were clamping down on inventory positions and how much risk they we're going to take into holiday. As we said on the earnings call last time coming out of holiday there was a lot of pleasant surprise at the strength of the consumer I think several brands and retailer start to get all the confidence back about how to compete more in this environment whether it's more e-commerce and actually started to see some positives with that. We had said at that time that the conference hadn't yet translated to orders but we were hopeful that it would. As we went through the quarter we did start to see that confidence translate to orders, so you do see February and March getting back on they're putting a few others more conversations and dialogue out there about how to compete in the market and I would just again classify it as more confidence around that. I think with that as a backdrop you still have to look at this globally. So what you see is a lot of our brand partners manufacture out of Asia, their domestic market share is still tough, and so we through these partnerships one of the things we want to leverage is our global supply chain and to be able to really connect the dots between Asia and Central America and be where these brand partners are so. That's still the plan for the long-term. I think in the short-term that the manufacturing here in North America people continued to be challenged a little bit, but we continue to push forward.
Daniel Moore: Okay, shifting gears a little on the -- you mentioned bottle pricing has ticked up considerably. What are the key factors there is it transport costs, is it just be purely supply and demand and what are your -- I guess crystal ball say for the next 12 to 18, 24 months.
Tom Caudle: Dan this is Tom. I mean we've seen bottle -- bale bottle prices go up over time. The primary reason for those increases have been increased demand and increased freight costs. We and also some association to crude. But I mean we do not see that that environment changing any time in the near future.
Daniel Moore: Got it. And I guess just lastly again coming back to the gross margins, on the international side and more generally, talk about on the non-indexed portion of our business, how long typically takes to recover and obviously this is not hasn’t been an normal environment, what should be expect is it sort of two quarter event from here if oil prices level off in the high-60s, is it four quarters just help us think about on the non-indexed piece, how long it will probably take to recover the lion's share of that those increases?
Jeff Ackerman: Sure, it’s Jeff. As you said, it depends on the environment a little bit. But I would say we're more in a two quarter range than the four quarter that you referenced before we would be able to feel like we can fully recover those.
Daniel Moore: That's really helpful and then lastly I know it’s a lot. But on the price mix or the mix part of pressure, what steps or levers can you pull or are you thinking about pulling if current trends continue and I’ll jump out? Thanks.
Jeff Ackerman: Yes. So on the mix it’s the strategy that we've talked about. So we’re adhering to that, we’re confident in it but that is the right strategy, we’re executing against that and again that is to drive more PVA volume to bring innovation to the market to partner with the right customers and leverage our global supply chain. Those are the things that we believe will continue to help us out and they'll be the things that allow us to stabilize those margins and improve the mix.
Daniel Moore: Got it. Thanks and look forward to seeing you down in Atkinville and Reidsville in a couple of weeks.
Jeff Ackerman: Thanks. We look forward.
Kevin Hall: We look forward
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Marco Rodriguez with Stonegate Capital. Your line is now open.
Marco Rodriguez: Good morning guys. Thank you for taking my questions. Just wanted to kind of follow-up with some prior questions here. Just to make sure I’m understanding correctly here your expectations as far as gross margins and then the -- your indexed pricing versus non-indexed pricing, if I’m understanding things correctly here, the non-index you're not expecting to really recapture if you will the gross margin there to a normalized environment for a couple of quarters and then the indexed pricing might take you at least a quarter assuming you have stable oil environment, is that am I catching all of that?
Jeff Ackerman: I think that’s right, Marco. The -- as we said on the indexed pricing it just lags behind by a quarter and in a stable environment then we will catch up with it in a rising environment, we’re going to -- we will continue to lag. On the non-indexed pricing, it’s really account by account, negotiation by negotiation and that takes a little bit longer, so that could maybe as I said before more like two quarters and kind of a normal environment.
Marco Rodriguez: Got it. And then shifting here to the volumes on the poly side, I'm not sure if I caught this in your prepared remarks, so I apologize if you've already gone through this. I did hear that you were discussing the fact that obviously when you’re trying to push through some of this pricing that the volumes will be affected but I’m also trying to understand the negative volume growth you saw year-over-year and kind of parse that through with the strength you say that you have in the PVA market, just if you can maybe talk a little bit more about that and what are the kind of the main drivers are there for the decline in sales volume?
Kevin Hall: Let me -- this is Kevin. I’ll take the first part of that and then we will have Jeff kind of fill in from there. So what we’re seeing on the polyester business is as we were coming out of holiday there was renewed confidence with a lot of our brand partners and retailers, it did manifest itself yet into January orders but we did see orders start to come through into February and March. So there was good trend build there if you will, so that was a part of what we are looking at. And Jeff I don’t know if you have any to --
Jeff Ackerman: So Marco yes, so just talking about that the volume growth a little bit. So it’s what Kevin mentioned and as you picked up on the PVA was growing. So again that’s where we feel like we have a differentiated fiber strategy that we can continue to grow we're going to keep pushing that. The other thing that is starting to take a little bit of effect in terms of like the absolute volume is that we’re starting to cycle on higher production levels out of our recycling operations.
Marco Rodriguez: Okay. And if so is that a weight issue that impacts the volumes or much are falling apart?
Jeff Ackerman: Yes, the volume is tonnage.
Marco Rodriguez: Got it. Okay. And then in terms of the nylon segment maybe if you can talk a little bit, I know that that area has been challenged here for quite some time maybe if you can just kind of paint what your expectations might be for the next 12 months or so?
Kevin Hall: Yes, I'll start that and Jeff you can [indiscernible] that end. So it’s interesting, the nylon going back to my days at HBI, we watch the Nylon market shrink every year. It is a challenging market and it continues to be such. So we look at that, as Jeff mentioned, we are bringing in some new commercial folks who really do a deep dive on the strategy there and to look how we can capture share and how we can grow that business over time. So we are committed to the category. We want to say there, our brand partners are in nylon, so we want to be able to offer that and so it’s something that we continue to work on. But it is a difficult overall character trend.
Jeff Ackerman: And I would just add to that as Kevin said just building on it is a difficult trend that we’re dealing with and so in addition to looking at the top-line side and kind of those commercial aspects and making the investments in the team, we’re also really focused on how we make sure that we have the right cost structure there.
Marco Rodriguez: It’s helpful and last quick question and I will jump back in the queue. Just any kind of additional metrics you can possibly provide for National Spinning acquisition, I mean what sort of revenues are we talking about as far as impacting the top-line and margin structure if you can? Thanks.
Tom Caudle: Marco, this is Tom. I mean we really can’t disclose particulars of the acquisition. As Kevin said earlier it’s going to be positive to our Dyed Yarn business, we’re going to be able to integrate all of that production into our existing assets and we will be building that budget on 2019. So you will see the effect of it in our 2019 budget.
Kevin Hall: The only other thing I would want to highlight is that what I like about this is strategically that the dyed business actually something we don’t talk about a lot but it is a nice differentiator for the company, it’s a really important part of our PVA strategy and so have any they added business to what we already existed it's going to be a real positive for us.
Tom Caudle: And I think it’s another example as well Marco that we can leverage our strong balance sheet to take advantage of these opportunities in the marketplace as they present themselves, so we are excited about this opportunity.
Operator: Thank you. And we do have a follow-up question from the line of Daniel Moore with CJS Securities. Your line is now open.
Daniel Moore: Thank you again I apologize for keeping me on. But just a clarification on the JV front on Parkdale, did I hear right the rising cotton prices were about $900,000 impact year-on-year?
Jeff Ackerman: Dan, it’s Jeff. I would not attribute it to all of that. It was a combination of lower volumes and the rising prices. So was in the region I faced a lot of the same challenges that we did.
Daniel Moore: Got it. And just lastly did they -- are those typically on indexed pricing in other words they pass-through any quarter similar dynamics to Unifi?
Jeff Ackerman: Dan I don’t know, I don’t know how their pricing works.
Daniel Moore: No problem. I appreciate it. Take it offline. Thanks again.
Jeff Ackerman: Okay, thank you.
Operator: Thank you. And that does conclude today’s Q&A session. Ladies and gentlemen thank you for participating in today’s conference call. This does conclude the program and you may all disconnect. Everyone have a great day.